Operator: Good afternoon, and and welcome to the Mogo Q3 Earnings Conference Call and Webcast [Operator Instructions]. I will now turn the call over to your host, Head of Investor Relations, Craig Armitage. Sir, you may now begin.
Craig Armitage: Thank you. Good afternoon, and thanks for joining us today. Just a couple of quick notes before we get started. First, today’s call will contain forward-looking statements that are based on current assumptions and subject to risks and uncertainties that could cause actual results to differ materially from those projected. The Company undertakes no obligation to update these statements, except as required by law. Information about these risks and uncertainties are included in our Q3 2021 filings as well as periodic filings with regulators in Canada and the United States, which you can find on SEDAR, EDGAR and the Company Web site. Second, today’s discussion will include adjusted financial measures, which are non-IFRS measures. These should be considered as a supplement to and not as a substitute for the IFRS financial measures. Also the amounts today are discussed in Canadian dollars unless otherwise indicated. And lastly as per our normal practice, we do have presentation slides available to accompany today's call. I encourage you to download those from the Investor Relations section of the Web site. With that, I’ll turn it over to Dave Feller to get us started. Dave?
Dave Feller: Thanks, Craig. Good afternoon and welcome to Mogo's third quarter 2021 results call. I'm joined today by Greg Feller, our President and CFO. Building on a strong Q2 result, this quarter showcases strength of our business and its multiple revenue drivers, which help drive record subscription and services revenue growth even in a market where some fintech and crypto companies saw declining sequential Q3 revenue. The diversification we've added has really helped to solidify the business model. Building a successful fintech is definitely hard. You have to differentiate yourself from the existing banks as well as the fintech competition, while also developing solid unit economics and a business model. Mobile has clearly demonstrated success in this regard and at the same time, we appreciate we're still at a small scale relative to the massive market opportunity. As a result, we're investing heavily and appropriately for long term growth led by our biggest initiative ever in mobile trade. Two of the biggest issues of our time are climate change and the wealth gap, and they are clearly linked and ties directly into our mission. Our team continues to be guided by a simple mission to make it easy and engaging for consumers to get financially fit and live a more sustainable lifestyle, save planet staff money. Our strategy and performance are driving our results and reflected in strong third quarter and year-to-date performance. Highlights include 64% increase in our member base to 1.8 million, subscription services revenue accelerated 126% year-over-year, payment processing volume was up 65% to 2.4 billion and just as importantly, through our platform our members have now contributed to planting over 500,000 trees. Ultimately, we believe that a next gen money solution will be one that makes it simple and engaging to not only achieve freedom but in a way that also positively impacts the planet. The fact is that becoming a millionaire is very achievable for almost anyone if they get into the right habits early on. Someone today who's 20 years old began investing just $200 a month in the market based on the average return over the last 100 years of the S&P, they could get to almost $3 million by the time they're 70 years old. And that number was also using mobile for the Mogo of their spending and investing, during that timeline, the average person would also plant over 30,000 trees. There's no question that the hardest part of wealth building equation really comes down to spending. As we all know, it's possible to be broke even if you have a high income and if you're overspending just as is possible to be on track to be a millionaire even if you're only making 30,000 a year, well below the average. If you're spending less than you make so you have more money for saving and investing. Today, we live in a world of not only credit cards that make it easy to overspend but new solutions like buy now pay later that also help drive overspending. We are focused on more of the buy now pay now lifestyle and helping people spend less than they make, which is why our average user report saving over $200 a month. Again, $200 a month invested can turn into almost 3 million over time. What's more, this is the first and only spending card in Canada that actually makes it easy and even free to normally be net zero but climate positive. The average Canadian uses her debit and credit card about 50 times a month. If that was done through Mogo, the average person would plant enough trees to absorb about 300,000 pounds of CO2 a year, which is more than 6 times the average carbon footprint of a Canadian today. So this isn't just a tool to controlled spending it's perhaps the most powerful tool around for the average person make a big impact in helping stop climate change. In fact, if just 20% of all spending in Canada were done through this card, Canada would be climate positive today. We're still early days in the new value proposition and continued focus on increasing awareness of the product and encouraged with the growth trend we're seeing in spend volume with Q3 up over 900% versus the same period last year. The other part of the planet saving stacking money solutions is investing and our goal is to build the leading next gen digital wealth platform in Canada, and we're extremely excited about the progress we're making in this area. This is a massive market in Canada. In fact, Canadians have over 8 trillion in financial assets, including more than 3 trillion in equities, mutual funds and ETFs. There are two key elements of our wealth platform that we're focused on, one is passive investing and the other is active investing. In the long run, we believe that most people have a blend of both and so we see the two as complimentary. In terms of active investing, we're still heads down on our biggest growth initiative ever MogoTrade. MogoTrade is now on Canadian Registered Investment dealer and a member of Iraq. Our goal with MogoTrade is to build a modern next gen trading platform that is truly native to where things are going. We continue to witness the rise of retail trading, not just in equities but in cryptocurrencies and even NFTs. It's no longer just a world of Monday to Friday where the markets close at 4 p.m. We now live in a world where things are being traded 24/7, 365 days a year globally, particularly with crypto. Our goal for trade is to build a platform that has been built with this new world in mind. As previously announced, our goal is to start with commission free stock trading and our goal remains to launch this in the quarter, this quarter, subject to regulatory approval. Unlike the US, commission free trading is still very new in Canada and there is currently only one other commission free trading app in the market and we expect to be the second. We are also excited about our differentiated value proposition, including the first trading app but also one that helps make every investment you make greener by planting a tree with every stock purchased. There are also some other firsts in terms of innovation in the Canadian market, which we think will help us achieve product market debt early on. Again, our goal remains to launch this quarter, subject to final regulatory approval. We were one of the earliest companies in Canada to offer Bitcoin back in 2018 and we believe more than ever in the market opportunity for crypto. This space is rapidly evolving and we plan on being a major player in the Canadian crypto space. From a product standpoint, our goal is to build a leading crypto platform within MogoTrade right alongside stocks. In terms of growth opportunity for crypto, the estimated market cap of stocks globally is around $100 trillion today versus just $3 trillion for crypto today. What's more, again, crypto trade 24/7, 365 and global in nature. Similar to how we have put the pieces together for stock trading, we are very focused on the strategic components for crypto and importantly believe that the future of this space is a platform that brings them all together. Worth noting, we also recently announced the first climate positive Bitcoin in the world. So now the best performing asset class of last decade is now one of the greenest through Mogo. The other key part of our wealth building platform is passive investing. And through our asset management business, we offer passive investing to our members, including the ability to round up and save or make regular contributions. Total AUM is approaching approximately $300 million today and an area that we also believe will continue to grow right alongside active investing. Gamification has always been an important part of our product strategy and our Bitcoin rewards program is something we continue to build out and leverage both internally with our members as well as externally with new marketing partnerships like the one we recently announced with the El Mocambo. Just like any good game, our goal is to reward users with Bitcoin as ways to motivate them towards their financial goals, whether that's improving their credit score or reaching savings goals, just another example of what we think a modern platform will look like versus traditional banking experience today. Why not making getting wealthy and saving the planet one of the coolest and most rewarding games you can play. In terms of our brand and marketing strategy, we are continuing to focus on not only cost effective channels to drive growth, but important partnerships like gaming that not only help drive relevancy of our brand but leverage gamers for spreading the word. Lots of exciting things on the horizon here, and I believe in the long run, our brand can and will become a competitive differentiator alongside a strong and differentiated product and value proposition. One of the key strategic advantages we have with our platform is our payments platform. Not only does this give us the benefits of vertical integration in terms of long term cost advantages but also serves as another revenue driver. We've seen this model before in terms of companies like Amazon building a core competency in web services and then offering this as a service for other businesses. Again, our payments volume was up 65% year-over-year to $2.4 billion. Another important strategic opportunity for this business is potential new partnership opportunities for Mogo through our B2B partners. As we continue to build out our platform in key areas like legal and compliance, we continue to build a competitive moat that isn't easy to replicate. Hundreds of millions in investments and years of work are needed to get to where we are today, and we continue to build on this moat every quarter. With that, I will introduce Greg to walk through the financials.
A - Greg Feller: Thanks, Dave. Building on a strong Q2, our third quarter results were again highlighted by accelerating top line growth from an increasingly diversified set of products and revenue streams, which allowed us to raise outlook for both Q4 subscription services revenue as well as total revenue for full year 2022. Key [third] highlights include a significant jump in our member base, second quarter in a row of accelerating total revenue growth and third quarter in a row of accelerating subscription services revenue growth, record gross profit, and we also ended the quarter with a strong balance sheet, including approximately $64 million of cash and in our investment portfolio. This amount excludes our approximate $128 million book value investment in Crypto Exchange Coinsquare. Mogo's total member base increased by 64% over last year to approximately 1.8 million members from a combination of accelerating net member additions and the benefit of members acquired as part of our Moka acquisition. We believe the scale of our member base, which excludes Coinsquare is approximate 600,000 members puts us in rare category in terms of member breadth and scale in Canada. Our member base is also an incredibly valuable asset that enhances our ability to successfully launch new products like MogoTrade. That product, in particular, should enable us to both increase member monetization as well as further accelerate the growth of new members. Q3 2021 revenue growth of 58% was driven by continued acceleration of subscription services growth, which increased 126% year-over-year and now makes up 61% of total revenue. The growth comes from an increasingly diversified set of products and revenue streams, including the contribution [Technical Difficulty] acquisitions, along with a substantial increase in MogoCard volume and revenue, which saw volumes increase 834% year-over-year as well as strong organic growth of subscription and payment processing revenue. MogoCrypto was not a driver of revenue growth this quarter given the overall decreases in volumes seen in the market, but we still exceeded expectations this quarter highlighting the diversification of recurring components of our model. In a period of high revenue volatility experienced by a number of fintech and crypto players, we were very happy with both the growth and resiliency of our model, which includes a high percentage of recurring revenue across the diverse frame of products. The high recurring revenue [competitor] model of approximately 95% also gives us increased confidence in our outlook. Total ARPU of $36 this quarter was down slightly from last quarter due to significant growth in our average member count during the quarter. Although, we expect this number to have some volatility quarter-to-quarter in the long term, we see is significant opportunity to expand this metric. As a reminder, the average ARPU by most of the Canadian banks and credit unions is $1,000 or greater. In 2020, we clearly demonstrated the underlying profitability of our financial model combined with strong industry tailwinds, this gave us a conviction to significantly increase our investments in growth initiatives and we are starting to see the benefits of those investments in Q3. Specifically, we continue to make the large investments -- the largest investment in our history in the development of MogoTrade, which we expect to be a major driver of member and revenue growth. This is a massive TAM and we've been very early innings of the shift in Canada to a fully digital and mobile trading experience, not to mention the shift to commission free trading. In addition, we are making a big investment in digital payments business as we expand into the massive US market and see significant opportunities to grow the business over the long term. Importantly, we have discussed before a high profitability model that generated close to 50% margins in Q2 and Q3 when we chose to dial back our levers. This should give investors confidence in our ability to manage the growth spend and these levers going forward. A significant and perhaps underappreciated asset on our balance sheet is the 39% ownership in crypto platform, Coinsquare. Our total book value of our investment on our balance sheet is approximately $129 million in the quarter. When you include this investment alongside our cash, digital assets and investment portfolio, we have close to $200 million cash investments on our balance sheet today. The second period we've accounted for the investment under the equity method and we recognized pickup loss of $2.5 million and $5.5 million for the three and nine months for September 30th. The $2.5 million loss was driven primarily by Mogo's share of Coinsquare $5 million loss in the quarter and the amortization of Conisquare's intangible asset fair value at acquisition date. Coinsquare's Q3 loss was largely driven by nonoperating losses related to the revaluation of equity investments in the quarter, including shares it holds in Mogo. In terms of Q3 results for Coinsquare, they were impacted by lower cryptocurrency volumes that were also seen across the broader sector. Subsequent to Q3, however, Coinsquare has seen a meaningful pickup in volumes resulting in revenue of $3.6 million for the month of October alone, which represents a meaningful increase of the average performance in Q3. Coinsquare's total assets under custody were approximately $851 million at the end of October. We continue to be big believers in the disruptive power of crypto and its importance in any next-gen digital financial platform and continue to view Coinsquare as strategic and attractive long term investment. Although we do have crypto related revenue of Mogo that accounts for less than 5% of our total revenue, so crypto volatility doesn't have a meaningful impact on our core business and results. During Q3, we also announced a small investment in Tetra, which spun off from Conisquare can became Canada's first qualified custodian for crypto assets. Core business is the custody and storage of cryptocurrency assets, including Bitcoin, Ethereum and a variety of other digital assets. We continue to have a sizable investment portfolio in our balance sheet of about $19 million, which we have been slowly migrating from legacy investments into companies that we believe add strategic value and partnership opportunities for Mogo and our ecosystem in Canada. A great example is our investment in the e-gaming sector, which increasingly is converging with the crypto sector as well as the emerging metaverse, all of which are clearly relevant for Mogo and a role in that ecosystem. Our portfolio includes investments in digital assets, Bitcoin and Ethereum with both seen significant appreciation since our original investment was started back in January. We also expect to see monetization opportunities within the portfolio over the next six to 12 months and some of our portfolio companies pursue IPOs. Our strong results year-to-date in the multiple growth drivers have talked about today enable us to increase our financial guidance for the remainder of 2021 as well as for 2022. Specifically, we expect year-over-year growth of 110% to 115% in subscription services revenue in Q4, that compares to the previous guidance of 100% to 110%. We are also expecting total revenues through 2022 in the range of $75 million to $80 million, up from previous guidance of $70 million to $75 million. While we are investing heavily in growth, we do anticipate improving adjusted EBITDA margins in 2022, and we also believe that we continue to increase our scale of EBITDA margins in the range of 35% are achievable over time. While we do expect to remain active in M&A, we've not factored that into our outlook at this time. To quickly summarize, it's been a strong year to date for Mogo and we are carrying great momentum into 2022 where we expect to complement an already strong revenue profile with upside from MogoTrade. We are targeting a massive addressable market supported by long term tailwinds and we are heavily investing to build a next-gen fintech platform that can capture more of this market. With that, we will now open the call to questions. Operator?
Operator: [Operator Instructions] Speakers, our first question is from Doug Taylor of Canaccord.
Doug Taylor: I wanted to ask a couple more questions about MogoTrade. It seems pretty imminent here. I mean, can you just update us on what these final steps are? I mean, is there a any risk of the launch slipping out of the quarter or are these pretty much rubber stamps? Any additional color there.
Greg Feller: Look, we are confident in our ability from a product perspective to launch before quarter end. As Dave mentioned, the regulatory approval that we require is effectively related to change of business for the acquisition of Fortification. And we do believe that, that's something that we can get before year end but obviously, it's not something that we directly control. So it's hard for us to specifically comment beyond that. But at this stage right now, we are hopeful that we're going to be able to launch this before year end.
Doug Taylor: So I mean just is all the development work behind the scenes done and you're just waiting for that approval, is that kind of the state of affairs right now? Is this thing functioning on a beta or a trial basis internally?
Greg Feller: Dave, you can maybe touch on the status of the product?
Dave Feller: Yes, I mean we are obviously -- we've been actually using essentially a version of the app for a while now and obviously keeping a close eye on things as it relates to kind of regulatory approval. This is a product that there's going to be a lot of development even when we launch what we really consider the MVP, there's going to be ongoing development and iterations and new features, et cetera. So this is an ongoing project and will continue to be even after the launch of what we kind of look at as our kind of MVP, minimal viable product. But bottom line is we're going to be ready to go with a solid MVP as soon as we get the approval.
Doug Taylor: Maybe one more question on the MogoTrade or -- this is a free stock trading app. I know that you are intending to use us to monetize your Mogo member base. Perhaps I'll just get you to refresh to what extent you've factored anything related to MogoTrade into your updated guidance here, which you've increased this quarter?
Greg Feller: So it is free stock trading. Having said that, there is a monetization model to it, in particular through the FX side, which you know. So this is a product that we expect to monetize users directly as well as be a product that actually drives engagement and opportunities to monetize more broadly. So I think there's sort of two benefits to the monetization model there. I would say, yes, there is some revenue associated with MogoTrade in our guidance. The increase in guidance with the combination of the increased momentum we've got in our core business today and the momentum and confidence we have going into 2022 on it, as well as our confidence to get MogoTrade launch and make an impact during 2022 as well.
Doug Taylor: Well, that answers my next question. You mentioned something in your prepared remarks about this being the biggest investment you've ever made, standing up the MogoTrade platform. I wonder I just had a curiosity, if you'd quantify what you think the amount of investment is? I'm just trying to get an idea of the barriers to entry to do something like this?
Greg Feller: So I'll touch on that first. Look, I would say that their direct costs associated with MogoTrade are, I think, ultimately going to be in the tens of millions. But if you actually look at it, our ability to even launch MogoTrade and be in the position that we're in, is a combination of the acquisition of Moka bringing the team around the table that has all the pieces and the capabilities that we need there as well as the development capabilities that we've got at Mogo and then you sort of layer on the member base that we've got and our ability to leverage that member base as part of the launch. And just the scale from a regulatory and compliance perspective, also, by the way, that we think is needed in this market. I mean if you look at the crypto market that's been an unregulated market in Canada. As you know, very century, they are very low. Our general view is that increasingly, we are going to see crypto trading on the retail side flow into those players that actually can do stock trading as well. That barrier, we believe, is much higher, the regulatory barrier, the capital barrier and really just sort of putting all those pieces together. So I think it's a combination of all of those things. By the way, we also think there are geographic barriers given the regulatory environment in Canada, both on the equity side and on the crypto side. So I think we definitely believe that there are a number of barriers here that, I think, position Mogo well given the assets that we've got on the table and the opportunity to leverage those assets as part of the launch of MogoTrade.
Doug Taylor: One last question for me on the crypto side. You provided a little bit of color into the financial performance of Coinsquare. It's obviously a pretty material asset now for Mogo. First of all, can you just reiterate or repeat what the revenue run rate for Coinsquare is and is it operating profitably once you look past some of those equity related machinations that you mentioned? I know the net income that shows up in your income statement is not always a good representation of the operating profitability of an asset like that? Any other color you can give us would be useful.
Greg Feller: So I guess, look, what we did comment on revenue that Coinsquare has seen and pickup in October. As you know, this is a volatile sector. So it's difficult to just pick up run rate. But at that level, that would be north of a $43 million revenue run rate based on the recent October results. And I would say also at that scale, Conisquare is profitable. And Coinsquare as well, though, is making significant investment in their platform and their business as well. So profitability, as you know, in these businesses is a function of the profitability and the margin contribution of the business and the level of investment that the business is looking to make in their platform and new products, et cetera. Obviously, Coinsquare, as its own company makes those decisions as well. But that's sort of the high level metrics I’d give you
Operator: Next question is from Scott Buck of H.C. Wainwright.
Scott Buck: Congrats on the quarter. Quickly on MogoTrade. Can you remind us, is that going to be a wide rollout or are you going to specific members first and then rolling wider sometime in 2022? And then also, can you discuss a little bit of the marketing and promotion for those of us that are here in the states, what you guys are doing up there?
Greg Feller: So yes, I would say in terms of the rollout, definitely, initially, we're going to be inviting existing members to MogoTrade. So one of the ways we built this, as we mentioned before, it is going to be a separate app. So it's going to be a separate app similar to a Robinhood app down in the states. But it is linked to the Mogo account. So our existing members with an existing Mogo account will actually be able to download that app and be able to log directly into it. And then that's obviously one of the points in terms of what it's taking to kind of build this out. Obviously, a core part of our platform that we've already built out as it relates to just onboarding KYC payments, all of these things obviously are being leveraged in trade but they're also integrated. So as we said before, somebody will be able to transfer money, for example, from the MogoCard, directly into their trade account and vice versa. Same thing is going to happen even on crypto. So that also then kind of brings people into that broader ecosystem of our products. So initially, when we get approval, we'll be launching through an invitation to our existing members. We'll also be marketing essentially a wait list as well to kind of build up for those that just want to wait until the actual -- they can download and sign up for that. And there's -- you're getting a sense in this presentation a little bit of the brand, although it is called MogoTrade. MogoTrade is actually going to have its own brand and own vibe as it relates to both the product UI and the brand itself. And we are working on a broader based campaign, including quite a few event level items, partnering with influencers and some other kind of creative things to market kind of MogoTrade more broadly. And then potentially even including a TV campaign in early next year.
Scott Buck: Second, it looks like member growth is still running at kind of elevated levels. Is there a particular product or service that's driving that? I mean is it crypto, is it the card or is it more just broadly the overall value proposition of a Mogo membership?
Dave Feller: I would say it really is kind of our broader value prop. We have many members coming in for our passive investment in investing solution. We also obviously have people coming directly for card, for Bitcoin. Obviously, we still have a lending business as well. And I think that's part of what we saw in terms of just our performance relative to. What you're obviously starting to see in the crypto space is not only that volatility but a strong desire to broaden the product offering so that you're not just depending on crypto. So I think today, we feel pretty confident in most of the products that we have today, and each one of them has their has its own path for driving the member sign-ups. Ultimately, we believe trade, especially obviously, just given the excitement around kind of retail trading will be, by far, our biggest kind of driver of growth and net new growth going forward once we launch it.
Scott Buck: And then last one for me. interest revenue was still, call it, 40% of the business or so. Can you give us a little bit of an update on the lending environment and the outlook there for 2022?
Greg Feller: So look, that product continues to be a very strong performing product for us and an attractive yield and a strong cash flow generator. And obviously, just more broadly in the fintech space, we've seen on the credit side that really kind of rise in importance, whether it's the affirms or the Afterpay of the world. And so we continue to like that product. We expect it to continue to be a contributor to growth, but the main driver of growth will continue to be subscription services revenue. In general, we believe there is a significant opportunity there with that product going into 2022, again, as the economy opens up more broadly, we think that there's going to continue to be strong demand there and we're continuing to see strong credit performance there. So again, it's an attractive product. If you look at our history, the product that we've been doing for well over 15 years, deep credit expertise and a nice complement to the rest of the products that we've got. Ultimately, we don't believe it's possible for you to be number one or a key part of the consumer's financial wallet if you are not willing to offer some form of credit, and that's why you're really seeing more and more fintechs, if not all fintechs get into that side of it. But it's a hard business to get into, unless you've been doing it for a number of years like we have. And so we continue to like it as a complement to the rest of the product portfolio.
Operator: Next question is from Mark Palmer of BTIG.
Mark Palmer: Looking at the boost to the company's fiscal '22 guidance. Just wanted to see if you could shed some light on what the drivers are of that? What makes you incrementally more confident about the outlook for '22? And to what extent is MogoTrade or the impact from MogoTrade reflected in that guidance?
Greg Feller: So I guess a couple of things. Obviously, I think we meaningfully outperformed this quarter versus where The Street was. And obviously, that outperformance as well as the guidance and our confidence in Q4 raising that guidance tells you that we have increasing confidence in the growth of our core business. And look, the last time we gave that guidance that was the first time we ever gave next year revenue guidance. So I think we took a -- we were taking a conservative approach. And as we continue to execute and see the model working that gives us more confidence to up that guidance. So it's a combination of the strong growth we've seen in our core business and the confidence we have that we can continue to drive growth in 2022. And yes, the original guidance, we said it was really minimal impact from MogoTrade. But again, as we get closer to launch of MogoTrade, we have more confidence in our ability to include some amount of revenue in 2022. So I would say it's a combination of both of those things. But I think we feel good about where we are, just given the momentum and the opportunity to drive further momentum with MogoTrade.
Operator: Next question is from Adhir Kadve of Capital.
Adhir Kadve: I just had a question on the Moka overall. Can you maybe give us some details on how that business is trending and what you're seeing in that business? And then just [Technical Difficulty] follow-up to that, how the cross-sell efforts are coming within Moka and Mogo -- or sorry, between Moka and Mogo?
Dave Feller: I would say we're continuing to see good traction on the Moka business. And again, we're kind of -- we look at that overall is kind of what we call Mogo Invest. Obviously, our focus and priority has actually been all on trade. And so a lot of the opportunities that we still have, including Moka and Mogo, we expect to actually come post trade. So although there's opportunities to do the odd campaign, the big difference, say, with trade and Moka is, as I said before, Moka today, for example, is a separate app with a separate login compared to Mogo. So those two are not synced. Whereas trade is actually going to be synced. So if you are already existing Mogo member, you don't have to pass KYC, it's all the same information, you can transfer between accounts, et cetera, et cetera, all essentially like it's in one app. So that complement in terms of cross-sell between trade and Mogo, we expect is going to be 100x what obviously the Moka opportunity is today. Our goal is to essentially integrate Moka into the Mogo app and MogoTrade. So essentially, the three of them will all be integrated. And that's just something that we're going to be doing following post the launch of trade but it just kind of shows you our general belief in the opportunity with trade. And I think it's pretty easy to see trade is, again, think about trade as a platform for trading we just have to be starting with equity stocks first and then obviously expanding. I mean crypto-nFTs, there's a whole host of other products that could be brought into trade. And then once that is going, our goal is, hopefully, at some point next year kind of the integration where Moka is integrated into that ecosystem, so you get the same synergies.
Adhir Kadve: And then just maybe on the Sun Life partnership that you guys announced, I guess, yesterday and today. Can you maybe talk about how that came out and what your expectations are for that partnership?
Dave Feller: So that was actually a partnership opportunity that was started by the Moka team pre-acquisition. So obviously, these guys are a large company. It takes a long time just to even get to that type of a partnership opportunity. They have a member base in Canada of, I think, around 6 million. So it's obviously a big opportunity. The fact that we're even at this milestone of doing this pilot with 20,000 is obviously material. And again, I bet you had taken well over a year to get to the spot. So I think we're hopeful and confident that they're going to see good value in it. And hopefully, that expands. I mean it's hard to say, but it does just show you the types of potential partnership opportunities that increasingly we're seeing with our kind of broader platform. And obviously, that's going to be an increasingly important part of our marketing strategy as well. It's not just out there with direct-to-consumer marketing, it’s continuing to find partnership opportunities. Obviously, the more we kind of build out our differentiated value proposition, the more those opportunities are available as well. So I think that's hopefully going to be the first of what we hope to be many types of those partnership opportunities in the future.
Operator: Next question is from Steven Li of Raymond James.
Steven Li: On your fiscal 2022 guidance, how much of MogoTrade you got it there?
Greg Feller: So Steven, we're not breaking it down into specifics. As I said, I think the way to think about it is in our original guidance, we had very little from MogoTrade. And I think the increased guidance is a combination of increased confidence in growth of our existing core business, as well as starting to bring some amount of MogoTrade revenue into that guidance. So it's a combination of the two but we're not, at this point, breaking out specifically.
Steven Li: And then, Greg, on MogoSpend, can you give us a range in terms of monthly transaction volume, is it between 10 and 25 or maybe even higher?
Greg Feller: So I would say, again, we're not breaking out specifics on the products. What I would say is we're very early days on the card. It is our fastest revenue growth driver in our subscription and services revenue by a meaningful margin right now. And we continue to see that being the case for a while here, at least before we get MogoTrade up and running. But we're still early days on that and we see a massive opportunity for that card to continue to grow. I think this quarter was really a combination of -- I think one of the things we tried to highlight in our presentation is, it's a combination of really everything working together, the savings investing, payment processing, growth from new products like card and other subscription services revenue. It's all of those together despite the fact that crypto, as everybody knows, was not a big performer in Q3 in the sector, we were able to, I think, exceed expectations on the strength of the rest of those products. So we like the diversified revenue model that we've got and we do believe absolutely that card is going to become a more meaningful part of the revenue. And I think as it does become that, we'll see if it makes sense to get break out more of the detail.
Steven Li: And then maybe my last one on Coinsquare. For the month of October, are we back at the revenue level we saw back in the spring, like $67 million a month or we're not quite there yet?
Greg Feller: No, we're not back at that level yet.
Operator: Thank you, participants. I'll now turn it back over to Dave Feller for closing remarks.
Dave Feller: Well, thanks again for your time today. We appreciate all the questions and following Mogo, and we look forward to updating you after Q4 and our year-end. Thanks again.
Operator: That concludes today's conference call. Thank you all for joining. You may now disconnect.